Operator: Welcome to Franklin Resources Earnings Conference Call for the Quarter Ended 12/31/2025. My name is Rob, and I'll be your call operator today. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Selene Oh of Investor Relations for Franklin Resources. You may begin. Good morning, and thank you for joining us today to discuss your quarterly results.
Selene Oh: Statements made on this conference call regarding Franklin Resources, Inc., which are not historical facts, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve a number of known and unknown risks, uncertainties, and other important factors that could cause actual results to differ materially from any future results expressed or implied by such forward-looking statements. These and other risks, uncertainties, and other important factors are described in more detail in Franklin's recent filings with the Securities and Exchange Commission, including in the risk factors and the MD&A sections of Franklin's most recent Form 10-K and 10-Q filings. Now I'd like to turn the call over to Jenny Johnson, our Chief Executive Officer.
Jenny Johnson: Welcome, everyone, and thank you for joining us today as we review Franklin Templeton's first fiscal quarter results. I'm joined today by Matt Nichols, our Co-President and CFO, and Daniel Gambach, our Co-President and Chief Commercial Officer. We'll answer your questions momentarily, but before we do that, I'd like to review some key themes. We are operating in a period of continued transition for investors, marked by significant market turbulence globally resulting from heightened geopolitical trade policy and consequently economic uncertainty. Markets are adjusting to a more persistently volatile environment, shifting capital flows, and a growing need for resilience in portfolios. Across regions and client segments, investors are focused on the same fundamental questions: how to generate durable returns, how to manage risk through uncertainty, and how to position portfolios for long-term outcomes rather than short-term noise. That environment is reshaping what clients expect from asset managers. Over the past few months, I've traveled overseas across Europe, the Middle East, and Asia. In my conversations with clients, it's clear they are no longer looking for individual products in isolation. They're looking for partners who can help them construct portfolios across public and private markets, deliver personalization at scale, and navigate complexity with discipline and insight. Franklin Templeton is well-positioned for this moment. Over years of deliberate planning combined with the strength of a global brand, we have earned the trust of investors around the world. At Franklin Templeton, we bring together specialized investment expertise across public markets, private markets, and digital assets, supported by a global platform with reach in more than 150 countries. Clients are increasingly engaging with us across multiple asset classes, reflecting a shift toward integrated solutions and long-term strategic relationships. This alignment between client needs and capabilities is driving growth. Our diversified platform, continued innovation, and focus on scale and efficiency position us to capture opportunities across market cycles and deliver long-term value for our clients and shareholders. Now turning to our results for the quarter, which marked another important step forward with tangible progress across the firm. We continue to deepen client partnerships, broaden our investment in solutions capabilities, and strengthen our global platform. Key priorities that remain central to our strategy. Our first fiscal quarter continued the momentum we built last year with strong client activity across Franklin Templeton's diversified global platform with positive net flows in both public and private markets. We had record long-term inflows of $118.6 billion, up 40% from the prior quarter and 22% from the prior year quarter. Long-term net inflows were $28 billion with record AUM and positive net flows across equity, multi-asset, alternative strategies as well as ETFs, retail SMAs, and Canvas. Excluding Western Asset Management's long-term net inflows totaled $34.6 billion, nearly double the prior year quarter, extending our track record to a ninth consecutive quarter of positive flows on a comparable basis. Assets under management ended the quarter at $1.68 trillion. AUM increased from the prior quarter due to long-term net inflows and the acquisition of Apira, partially offset by the impact of net market change distributions and other. Excluding Western Asset, long-term net inflows were $34.6 billion compared to $17.9 billion in the prior year quarter, with nine consecutive quarters of positive net flows. We continue to see strong momentum across our platform with record AUM in three of our four asset classes. Public markets remain a key strength, an important source of growth. Equity, multi-asset, and alternatives generated positive net flows totaling $30.4 billion for the quarter and excluding Western Asset, fixed income delivered its eighth consecutive quarter of positive net flows. Equity net inflows were $19.8 billion for the quarter, including reinvested distributions of $24.6 billion. We saw positive net flows across large-cap value and core, all-cap growth, and value sector international equity, equity income, and infrastructure strategies. Fixed income net outflows were $2.4 billion. Excluding Western Asset, fixed income net inflows were $2.6 billion driven by Franklin Templeton fixed income. Positive momentum continued in multi-sector municipal, highly customized, stable value, government, and emerging market strategies. Our institutional pipeline of won but unfunded mandates remains strong at $20.4 billion, underscoring sustained demand for our investment capabilities. The pipeline remains diversified by asset class, and across our specialist investment teams. Trade and private markets, Franklin Templeton is a leading manager of alternative assets with $274 billion in alternative AUM. Alternatives fundraising has been a key contributor to our growth, with $10.8 billion raised during the quarter, including $9.5 billion in private market assets. Fundraising was diversified across our alternative specialist investment managers, reflecting client demand in secondary private equity, alternative credit, real estate, and venture capital from institutions as well as from the wealth channel. Aggregate realizations and distributions were $4.8 billion. Lexington Co-Investment Partners VI, one of the largest dedicated global co-investment funds, closed in October with $4.6 billion in committed capital. Today, Lexington's AUM stands at $83 billion, up 46% since its acquisition in 2022. In addition, we continue to expand our private credit platform with the October 1 closing of the Apira Asset Management acquisition. This strategic acquisition enhances our direct lending capabilities in Europe, growing lower middle market. In January, BSP Real Estate Opportunistic Debt Fund II closed with $10 billion of investable capital, including related vehicles and anticipated leverage across $3 billion of equity commitments. Franklin Templeton's US and European alternative credit businesses are now aligned under an updated Benefit Street Partners brand with $95 billion in private credit AUM at quarter end. Clarion Partners continues to be well-positioned with a large diversified portfolio and positive returns despite a challenging capital raising environment. Capital flows remained well below averages largely due to clients seeking more liquidity in private equity overall. Recent M&A activity in the industry underscores the importance of alternative assets, reinforcing the strategic rationale behind our acquisitions and investments, and further highlights our ability to grow our alternative asset platform at scale. Franklin Templeton Private Markets, our alternatives wealth management offering, continues to gain traction and generated over $1 billion in sales for the quarter, underscoring the strength of our global distribution partnerships and client reach. Lexington Partners, Benefit Street Partners, and Clarion Partners each have scaled perpetual funds totaling $700 million in AUM. These are semi-liquid perpetual vehicles open to ongoing subscriptions, giving investors efficient access to long-term private market exposure. Taken together, these capabilities are driving increased client adoption and strengthening our position as demand for private market solutions continues to grow globally. As investors continue to seek enhanced diversification and differentiated sources of return, private assets have taken on a more prominent role within traditional mutual fund structures. We've been incorporating private assets into traditional mutual funds for over a decade. Today, we manage approximately 60 products representing about $160 billion in traditional mutual fund assets that have exposure to private markets. Liquidity is closely and continuously monitored to ensure these products remain aligned with our traditional fund objectives. Multi-asset AUM is nearly $200 billion and had net inflows of $4 billion during the quarter, the eighteenth consecutive quarter of positive net flows led by Franklin Income Investors, Franklin Templeton Investment Solutions, and Canvas. These flows underscore clients' increasing preference for outcome-oriented diversified solutions across public and private asset classes, an area that Franklin Templeton continues to focus on and evolve through innovation. Clients are increasingly turning to Franklin Templeton for a broad and differentiated set of investment vehicles, and we're seeing that demand translate into sustained growth across our platform, with record AUM across ETFs, retail SMAs, Canvas, and investment solutions. Our ETF platform continues to grow at a faster rate than the industry and reached a new high with $58 billion in AUM and generated $7.5 billion in net flows, marking its seventeenth consecutive positive quarter. The net flows were inclusive of $3.5 billion in mutual fund conversions. Our focus on active ETFs produced strong results this quarter. Active ETF net flows were $5.5 billion or approximately 70% of total net flows. Today, we have 15 ETFs that exceed $1 billion in AUM. The industry conversation continues to shift toward delivering personalization at scale, and we see this as a durable long-term opportunity. Advancements in technology are allowing features of separately managed accounts, such as tax-loss harvesting, which were historically underutilized, to be implemented efficiently and consistently across a broad client base. We are well-positioned in retail SMAs with our breadth of capabilities, along with our custom indexing technology, Canvas. As a leader in retail SMAs, AUM increased to $171 billion with $2.4 billion in net inflows driven by Putnam Franklin fixed income and Canvas. Canvas generated $1.4 billion in net flows and reached $18 billion in AUM, reflecting strong client interest in personalization and tax efficiency. Canvas has been net flow positive since its acquisition in 2022. We are also seeing increased demand for multi-asset model solutions, including portfolios that combine both public and private asset classes. This trend is extending into retirement channels where investors are increasingly seeking diversification, income, and risk management through more holistic portfolio construction. Investment solutions leverage our capabilities across public and private asset classes to pursue strategic partnerships. This quarter, Investment Solutions enterprise AUM surpassed $100 billion. Digital assets also continue to play an important role in modernizing financial infrastructure, and Franklin Templeton remains at the forefront. Earlier this month, the state of Wyoming debuted the nation's first state-issued stable token with Franklin Templeton-managed reserves, further demonstrating our leadership in blockchain-enabled investment solutions. Our digital asset AUM is $1.8 billion, inclusive of approximately $900 million in tokenized funds and approximately $800 million in crypto ETFs. Turning to artificial intelligence, we've made significant progress in advancing our AI efforts. Yesterday, we announced the launch of Intelligence Hub, a modular AI-driven distribution platform powered by Microsoft Azure. Building on the advanced financial AI initiatives announced in April 2024, Intelligence Hub delivers our vision for US distribution by modernizing core activities, improving sales effectiveness, and enhancing the client experience. One of Franklin Templeton's strengths is our global presence, and international markets are an integral part of our growth strategy. We currently operate in over 30 countries, and our international business continues to expand with positive net flows for the quarter with strength in EMEA. Now in terms of investment performance, over half of our mutual fund and ETF AUM is outperforming its peer medium across the three, five, and ten-year periods. Similarly, over half of strategy composite AUM is outperforming its benchmarks over the same time periods. Compared to the prior quarter, mutual fund investment performance increased in the five and ten-year periods and declined modestly in the one and three-year periods due to select U.S. equity strategies. On the strategy composite side, investment performance improved in the ten-year period, was stable in the three-year period, and declined in the one and five-year periods. The one-year decline was primarily driven by the liquidity strategies. Overall, long-term performance remains competitive and continues to support both organic growth and client retention. Turning briefly to financial results, adjusted operating income was $437.3 million, reflecting lower performance fees and the annual deferred compensation acceleration for retirement-eligible employees, partially offset by the impact of higher average AUM and realization of cost savings initiatives. We remain disciplined in managing expenses while continuing to invest strategically in areas of growth and innovation for the benefit of all stakeholders. We are confident that our diversified business model, global scale, and client-first culture positions us well to capture the long-term trends reshaping our industry across public and private markets. Finally, in December, Franklin Templeton was once again recognized by Pensions and Investments as one of the best places to work in money management. I'm proud to lead such a talented and dedicated team, and I want to thank our employees for their continued hard work and commitment to serving our clients. Now let's open up the calls to your questions. Operator?
Operator: Thank you. If you'd like to ask a question, please press 1 on your telephone keypad. The confirmation tone will indicate your line is in the question queue. If anyone should require operator assistance, please press 0. We request that you limit yourself to one question to allow as many additional participants on the call as possible. Thank you. And the first question is coming from the line of Bill Katz with TD Cowen. Please proceed.
Bill Katz: Thank you very much for taking the question and all the update. Thank you for the extra disclosure in the supplement around expenses. I think that was quite welcomed, for sure. Maybe on that, just a two-part question. To the extent that the market were to be a bit under pressure as the year goes by, how much flex do you have to sort of bring that number down? And then secondarily, I think in there, you sort of affirmed you're going to get to $200 million of cost savings. Could you speak to maybe the residual amount yet to be realized and the timeline against that? Thank you.
Matt Nicholls: Yeah. Hi, Bill. Good morning. It's Matt. So as outlined on that page, thanks for highlighting it in the investor deck, at flat markets, as we mentioned the assumptions and excluding performance fee comp, we do expect expenses to be in line with 2025. This is inclusive, again, as we also outlined on that slide, about key investments that are essentially offset by the expense savings. From a modeling perspective, if you take the guidance, which I can give on the second quarter and then you add that to the first quarter, take those take that sort of combined number for expenses and then take the last two quarters and divide it roughly evenly between the last two, that'll get you where we believe we'll be at this point in time. It may be that the expense saves shift a little bit between the third and the fourth quarters, but that's how we expect things to play out in terms of our cost savings. And that is, of course, as I've mentioned in the past, in conjunction with margin expansion, in particular, going into the third and fourth quarter. So I think for the second quarter, you won't see much of margin expansion. You'll see that going into the third and fourth quarters where we expect to be again, given current markets, given current AUM levels, we expect our margin to be getting into the high 20s at that point from where we are today.
Jenny Johnson: Thank you.
Operator: The next question is from the line of Craig Siegenthaler with Bank of America. Please proceed with your question.
Craig Siegenthaler: Thank you. Good morning, everyone. My first question is on the M&A activity. I know you've been very active, and I wanted to see if you had an update on potential contingent consideration liabilities because I see there's only about $20 million in the new 10-Q that you put out today. But I actually thought it was larger than that. So is that really it? And or could there be more, especially with the deal you just closed last quarter?
Matt Nicholls: No. That's the contingent consideration around specific transactions that we've done. So it's really virtually nothing at this stage. What that doesn't include is some compensation related to transactions, but that's all that compensation line and all included in our guidance. So and some of that, you can see in the GAAP versus non-GAAP disclosures for specifics. But for transaction-related consideration, it's a very low number that's left, and that's probability-weighted, Craig. So yeah. Got it. Nothing additional to report there.
Craig Siegenthaler: Okay. Thanks, Matthew. And it's just one question. Right?
Matt Nicholls: Yes. Well, I think you had you want to ask something else about M&A. I think Jenny, do you want to cover the M&A question?
Jenny Johnson: Yeah. Yeah. I'll be that. Great.
Matt Nicholls: Yeah. Do you want to just
Jenny Johnson: Sorry, Craig. Are you asking about what kind of our view is on M&A? Or what's your question on that?
Craig Siegenthaler: Actually, I did in the first part, but, you know, if you want to kind of update us in your M&A priorities, product gaps, kind of where you're looking, where you kind of strategic benefits, that'd be helpful too.
Jenny Johnson: Yeah. Sure. So it hasn't really changed. I mean, you know, what we've always said is we do M&A for strategic purposes, and they're usually around whether we need to fill out an obvious product gap. Today, honestly, we are pretty full. I mean, the one area that we had said was infrastructure. You need a lot of scale for infrastructure. And we feel like we've filled that, at least for now, with the partnerships that we've done with the three infrastructure managers. And we're focused on the wealth channel there. Any kind of M&A we do going forward is going to really be in three areas. It will be like what we did with the Apira, which is to fill in a specific bolt-on area, either geographically or capabilities to our alternatives manager. So in that case, they gave us European direct lending, which we are able to combine with Alcentra's direct lending group. And I think we're now at $10 billion in European direct lending there. So that's kind of a bolt-on both geographically and capability. And then the second area would be if it somehow furthers distribution. So we've done either investments or actual M&A that help us like the Putnam deal where we also brought with it some sort of distribution capability. And then the third area is really in high net worth. We've said we want to grow we want to double the size of fiduciary in our five-year plan, and that can be both that will be both organic as well as inorganic. So those are the kind of three areas that we're focused on.
Matt Nicholls: And I'll just add something to this, Craig, that you know, it's almost reiterating what we said in the past, but what we've done in 60% of our operating income that's been added over the last several years through M&A. And I think the know, we're a bit of a modest company at the end of the day, but the timing of our private markets acquisitions was quite good. And as you know, we've been growing the multiple down very substantially in terms of those transactions. So we're very comfortable with M&A. And as Jenny mentioned, we've got some things that we're reviewing. We're kind of in the strategic flow. It would probably be an understatement. But right now, the return on M&A is very important to us. We have high bars and obviously given where our equity is trading. You know, the bar is even higher for M&A. So first thing we look at is, you know, the return on buying back our shares relative to what we could get from M&A or providing more seed capital and these other things around capital management.
Operator: Thank you. The next question is the line of Brennan Hawken with BMO Capital Markets. Please proceed with your question.
Brennan Hawken: Good morning. Thanks for taking my question. Matt, I didn't don't think I heard it in the prepared remarks. So I figured I'd drill in. Would you have any expectations for EFR, either both in the coming quarter and then if you have a view maybe for the balance of the year. I know you've got Lexington the Lexington Flagler is expected to start. I'm guessing that'll help.
Matt Nicholls: Yeah. I'd say that for the next quarter, we expect EFR to be stable, where it is today. And then in the following two quarters, there could be some, you know, upside to that based on fundraising around alternative assets as you've, as you've just highlighted.
Brennan Hawken: Great. Thanks for taking my question.
Operator: Next question is from the line of Alex Blostein with Goldman Sachs. Please proceed with your question.
Alex Blostein: Hey, good morning, everyone. Thank you for the questions. Well, Matt, I was hoping you could expand the margin discussion a little bit longer term. Franklin's done a really nice job integrating a number of assets over the years. Good to see the expense flex come through. But when you think about the operating margins for the firm as a whole, kind of running in the mid-twenties, to your point, maybe entering high twenties towards the end of the year. Where do you see the profitability over time? Many of your peers are well in the thirties, kind of mid-thirties, percent range. So, no one would you know about the business. Knowing what else might be on the come with respect to integration. Of some of your managers. How should TheStreet think about profitability over kind of a multiyear basis, and what's kind of the goalpost there? And maybe just a clarification. I know you said high twenties margin exiting 2026. Is that with market, or is that also assuming flat markets?
Matt Nicholls: The latter one is flat markets. So it's part of our guidance from where we are today. In terms of the first question, you know, we put out there a five-year plan where and we've got four years well, three point seven five years to go of that plan. And we said we'd be in excess of 30% by the time that's finished. The reality is we are well on our way to 30% margin, all else remaining equal, going into '27, let's say, fiscal twenty twenty seven. So sometime in 2027, we'll be there. And then if all else remain equal around the market, as we've said, you know, there isn't any other reason why we couldn't be somewhere between 30-35% if we achieve all the goals that we put into our strategic plan that we've highlighted to all of you and as we highlighted where we're at against that. End of last year. So yeah, that's where we're at on the margin. As I mentioned, where we should end this year, all else remain equal, in the high 20 nines going into 2027 fiscal at some point would be 38. And then if the market stays where it is today, we should go in excess of that in future years where we thought we'd be more like 30%. So we have some upside there. Remember as well, we do have the highly episodic situation around Western where we've been providing support to the Western expense structure since August 2024, which has had an impact on our overall margins of probably several points. So we'd already be in the high twenties, or 30% now. Excluding that, but we've done the right thing in our opinion by providing that support. And it definition, also supports future growth opportunities that we've highlighted in our five-year plan.
Alex Blostein: Yep. All makes sense. Thanks so much.
Operator: The next question is from the line of Glenn Schorr with Evercore. Please proceed with your question.
Glenn Schorr: Thank you very much. Jenny, it felt like you had strong conviction in how you talked about you said something like no longer people are no longer looking for products in isolation. Curious how much you were leaning towards the institutional versus the wealth side and more importantly, how you're organizing around that? Have you deliberate Is it your own models? Is it getting on other people's models? And is it also bigger strategic, broader relationships with LPs? I'm just curious to flush that out a little bit. Thank you.
Jenny Johnson: Yeah. No. Great question. So that comment is both a wealth comment as well as an institutional comment. So you talk to any of the big wealth platforms, and what they're basically saying is, there's more demand from their clients to offer truly what used to be just available to high net worth people. So it's financial planning, tax efficiency, education, education of the heirs. And so what their message is look. We're going to consolidate to fewer managers we're going to look at the ones that have scale, that have breadth of capabilities, and can offer these additional services to us. And part of that and so I'm talking first on the wealth side. And part of that on the wealth side is if you have traditional and private show me that you can support us on the education of the sale of our private. That's why we have 100 people whose sole job is to support our market leaders out there as they meet financial adviser by financial adviser from an education standpoint. And so really focusing on streamlining on the wealth channel. We're having the same discussions on the institutional side where the conversations are around, okay. Show me your broad breadth of capabilities. I want to be able to second some of my more junior folks. Show me how you can build a program around that that goes cross market, so fixed income equity secondary private credit. Like, we want that education across. And that you will support those types of programs. And again, they're consolidating the number of managers. And you have to remember, you have a blow up with one manager, it taints your firm's reputation. There's as much due diligence on a multitrillion dollar manager as there is on a single $20 billion manager. And so the amount of time that they have to do and do due diligence on the managers making them want to consolidate, just use larger managers and expect more from the managers. So that's both, like I said, institutional retail. We've seen it on the insurance side. Where as they're looking, you have this trend towards leveraging sub-advisors. They want broad breadth of capabilities there. So we're seeing it on as you talk to retirement managers, me the breadth of capabilities that you have and show me how you can help support the business. So I would say this trend has been going on for the last few years. And it continues. We feel really well positioned for it.
Glenn Schorr: Thanks so much, Jenny.
Daniel Gambach: I wanted to add a comment into Glenn's comment on actually our success, especially on the wealth space. Which you mentioned, we have over 100 our specialists that complement the field and the wealth people on the ground. And the success that we've seen, actually over the past year alone, we've increased substantially the amount of AUM that we fundraise in the wealth space. And we expect that that's going to be, you know, between 15-20% in 2026. But also importantly, 40% is coming outside The US. So it's also growing outside The US, both in Europe and Asia. And the other part that is important is over the past two years alone, we built seven perpetual funds that are close to $5 billion in fundraising and the fundraising is just going up every quarter. So this quarter is 50% higher than the quarter before, and the momentum continues because we continue to sign up new wealth groups. And to your question, Glenn, we're also starting to build those model portfolios of perpetual funds that will continue to accelerate the growth on the wealth. So that's an area of focus, and I think that's an area of a lot of success from frankly. So I just wanted to add that to the conversation.
Jenny Johnson: Well and you just reminded me, Daniel. Glenn, you asked the question about do we also try to get in other people's models? Yes, the answer is we do. If other people have OCIO and they're open architecture, and we are, in that case, in other people's models. So our goal is to meet the client and however the however we can meet the client, whether it's whatever vehicle or vehicle agnostic, I think that you would see that all of our flagship products are being sold in multiple vehicles. So some form of ETF mutual fund, CIT, SMA, We're adding tax efficiency to our active SMAs. And so having that flexibility is really important as they select you as one of their core providers.
Operator: Our next question comes from the line of Dan Fannon with Jefferies. Please proceed with your question.
Dan Fannon: So Matt, wanted to follow-up on some of your comments around long-term margins and the expenses. So just thinking about expense growth beyond this year, are you can you give us a sense of how you're thinking about that? And do you anticipate in those longer-term targets for margins additional cost savings and or cost programs that will help you get there.
Matt Nicholls: I mean, it's possible that we're deep in on AI. We're deep in on how to maximize our presence that we have. In India or in Poland, for example, where we've got very large operational capabilities and great talent in these places. We're working on meaningful integration across the firm to maximize and capitalize on what we've and what we've, what we've got here. Every time when we progress down one of those paths, we find other places that can frankly absorb areas that we need to invest, at least absorb. What we're demonstrating this year is a meaningful increase in margin or else remaining equal and an acceleration of our plan to get to 30% plus. And, you know, we're doing that through very disciplined expense management whilst continuing to invest the business at the same time as the market going up. So we've got meaningful investments for growth. We've got the market that's meaningfully up. Yet our expenses are staying flat to last year. I think going into 2027, obviously, look, we're not we're only a quarter through 2026 fiscal. But I feel, I feel confident that going into 2027, that, a lot of the other initiatives we have going on will help to continue to absorb the additional expenses that are required to grow and invest in our business. But, obviously, we can't comment on, you know, reliably on fiscal twenty twenty seven when we're not even through '26. But I hope through these comments when you look at how we've performed from the expense perspective, '25 versus '24 and now what we're guiding in '26 versus '25 that, you know, we've mostly achieved what we said we're gonna achieve even with upward momentum in the market. So I do think we've got some room in the numbers, in terms of further cost saves going into fiscal twenty seven based on everything that we know. But right now, we're focused on delivering on fiscal twenty six as we've highlighted.
Jenny Johnson: And I'm just going to add, Matt. Like, when we think about where is there upside opportunity and margin, I'm going to throw it into kind of three categories in the shorter term. But sort of a '27 on. One is streamlining the products. We've done a lot around, I think almost a third of our product we've looked at and either repositioned merged a few cases closed, and in some when I think about repositioning, it's like turning them into ETFs. We did big ETFs conversion where we think they'll get more upside potential. So as we determine that, there's opportunity there. The second is it always takes a lot longer. And you think about all the acquisitions that we've done, kind of say, I think, 11 acquisitions in the last five or six years, but the reality of Legg Mason was like an acquisition of five companies or six companies, not one company, because they were all on their own systems. They had own versions of CRM, different CRM systems. That is still ongoing. And those and some of that's built into the projections that we have. But some of it, you continue to uncover more opportunities there as you integrate. And it takes multiple years to do the full integration. And so that's still working. And then finally, like AI and technology, I think we think blockchain is going to be a great efficiency adder as it as it's adopted out there. But like AI, just you may have seen that we announced this intelligence hub. It's one area that we're working on AI to make our distribution people more effective. What we saw is the time to finalize call lists dropped 90% when we rolled this out. Now what is that? It's you know, it went from three to four hours to fifteen minutes. And the prepping for meetings dropped you know, from six hours to two hours or something per week. Those are small little incremental cost savings or hope more importantly, what it's done is actually added 9% to 10% increase in the number of meetings that our distribution team has. So hopefully, that translates into more sales. But think about that as you're rolling it out. We've already talked in the past about AI and the improvement in our RFPs. We're doing a lot of work on our investment side. It will either translate into growth opportunities or it will translate into cost savings. But honestly, it's a bit hard today to build that into direct cost savings opportunities that expand into margin. But those are big opportunities, we think, going forward. And we are very focused, we think, on the AI side. We're actually the leaders in that space. So I just want to add that to kind of Matt's comments.
Matt Nicholls: And then finally, Jenny, thank you for that. And then finally, most of the stated growth areas that you can see as demonstrated by our positive flows in them scaling. They're scaling up. And in particular, ETFs, Canvas, and Solutions, for example, each of those three areas for us obviously, they're lower fee. And when they're smaller AUM and when you're growing, overall is a business, you have a lower margin. As a result of that of that investing to grow the business to a scaled position. What's happening now in terms of ETFs Canvas, and solutions in particular, notwithstanding that the lower fee rate associated with those vehicles, those businesses, let's call it. They're getting to the point now where the size of them and certainly going into later into 2627, all else remaining equal, we expect the scale of scaling of those businesses to create higher margins overall. So you have a lower fee rate. I know everybody's very focused on the fee rate. But at a certain point, when you get above a certain AUM, expenses are very managed and you've done all the investments. You've got the team you need, and then you could be two, three times as size of AUM and therefore have a much higher margin. Similarly, in our alts areas, we continue to grow significantly across all three of our three, four of our primary alternative assets businesses. We're getting more margin from that. I mean, the $10 billion that Jenny talked about earlier on, the $9.5 billion of fundraising doesn't include, for example, Lexington Fund 11. So it's important to note that.
Operator: Our next question comes from the line of Ken Worthington with JPMorgan. Please proceed with your question.
Ken Worthington: I guess pressing AI further, Jenny, you've been in the press talking about the impact that AI has on asset management. Suggesting that it could drive, if not accelerate, more consolidation in the asset management industry. So maybe one, how does AI drive consolidation? And then two, from Franklin's perspective, how would AI sort of alter your ability and willingness to do the M&A transactions and fill in the gaps that you mentioned sort of earlier in the call?
Jenny Johnson: Yeah. So a couple things. So one of my comments on M&A consolidation has been really what I said is look. If you haven't if you're a traditional manager and you haven't already purchased scale in alternative managers, it's going to be really difficult to compete going forward, especially because one, that comment on distributors trying to consolidate, so they're demanding more from you. Two is, as Matt pointed out, we were fortunate that we were very early in these acquisitions. Traditional alternatives managers have gotten incredibly expensive since we did our acquisition of BSP and Clarion. And it will be very, very difficult to be able for a traditional manager to be able to go and acquire. Number two, this convergence particularly in fixed income, you're going to see, but across the board with products that are that contain both private and public in them, you don't have that under the same roof, we don't think you're going to get the same kind of just synergies that you get from learning and managing and research. We have over 50 products between Western ClearBridge and Western and, frankly, Franklin's been doing private markets in their traditional mutual funds for over a decade. So over 50 products actually have privates in them today. So we already have that in our mutual funds. So one is in the alternative space. The second is AI. AI the amount of data required to truly train a model is really significant. And if you're a smaller manager, one is you won't be able to buy you won't be able to buy the kind of data. We spent hundreds of millions of dollars on data. And so to be able to scale that data, plus the data you generate internally across all of your different capabilities is really important in training models. And it's just going to be hard to compete on training those models if you don't have a scale. So that's where why my comment was, think that's going to drive some consolidation because I think over time, we're already seeing it. Now look. Anytime you have technology breakthroughs, first thing people do is just make more efficient what they do today. That's why we give you quotes like, hey. We're more efficient on the call. Because it's hard to measure the actual value-added output because that doesn't happen right away. It doesn't happen until you start to put in the hands of your people so that they can build those ideas. I wanted to say it's like, you know, when the iPhone came out, we all looked at it as this is a pretty cool camera. And, you know, and flashlight and whatever. It was unleashing the hands of the public that came up with all these credit applications. Applications. As you start to train your workforce on how to leverage Agenic AI, which we were very early adopters of broadly rolling out ChatGPT, and we do training on how to create a genetic AI. We do hackathons with our investment teams. And it's a cross-functional hackathons. We put people together that are across various sins to say, go build a Genic AI. And they're doing things that are built one on top of the other, and then we take them and we test them across others. So to me, the ability to do that and compete is going to be very difficult. If you are small, and in particular, if you are singly focused on, you know, kind of one area of the capital stack.
Ken Worthington: Got it. Okay. Thank you. That's very helpful.
Operator: Our next question comes from the line of Michael Cyprys with Morgan Stanley. Please proceed with your question.
Michael Cyprys: Morning. Thanks for taking the question. Just wanted to come back to your commentary Jenny on blockchain and tokenization. Just curious if you could talk about your objectives for that over the next couple of years. What steps are you looking to take here in '26 to enhance your positioning? To help improve adoption, for example, of your existing tokenized funds? And then to your point on efficiency, I guess, how do you see blockchain contributing to improve efficiency at Franklin? How much lower cost is it to operate tokenized funds versus your traditional funds in rails?
Jenny Johnson: Sure. So I'll tell you, like, this is just an incredibly efficient technology. And my the best example to give you an idea of how it become how I think it's from a cost savings standpoint, how significant it is I'll start there. And then kind of what the opportunities and the hurdles are to more broad adoption. So the first thing is, when the SEC approved our money market fund, they had this parallel process. It was something like we did over a six-month period between our old agency system and our blockchain system. And we were one of the few firms that were still running that the transferring C systems in-house. So we got to see that comparison. And we did about 50,000 transactions that cost us about a dollar 50 per transaction. Cost us a dollar 13 to run it. Total. To run those 50,000 transactions on the Stellar blockchain. We picked the right chain. There's a lot that goes into that. But it showed us the dramatic difference in cost. And today, if you open an old money market fund, you need $500 open up because below that, we probably lose money and the other shareholders subsidize you. In the case of blockchain, you could open a Benji. You downloaded the Benji app and open a money market fund, you would you would you only need $20. So we could probably go less than that. So it's cost savings. The second thing is there's a huge amount of cost in financial services that's just reconciling data between your own systems and then reconciling with your counterparty. All that goes away when you have a single source of truth that is updated immediately. So those that's you're going to have cost savings, which is why I believe it will fundamentally replace all of the rails. There's a lot of toll takers in the system today. That will slow that down as much as they can because it threatens their business model. But you know, water runs downhill no matter how many obstacles you put in it. It will it will become very significant. So why the slow adoption? You cannot hold a tokenized product without having what's called a wallet. Okay? Now it's a blockchain wallet. It's merely an encryption key that's your own personal one, but you can't hold any of those. And in The US in particular where you had you didn't have regulatory clarity until the Genius Act came in, there was no point in any of these big wealth advisors on the traditional side to even think about it because it was kind of like the third rail from a regulatory. I can tell you this year, I feel like is completely changed. You now have the large crypto exchanges interested in trying to offer traditional types of funds, ETFs and others that would be tokenized. And you have the big traditional managers who are saying, can you please educate us on how we access this space? How do we build a wallet? What's required there. And so I think you're going to start to see much greater convergence between TradFi and DeFi. We our tokenized money market fund, what we see is if anybody's been involved in securities lending, you know that people will move who they they'll borrow where they can get the highest collateral return even if it's a basis point. Why would you keep their $300 billion in stablecoins? Why would you park your money in a stablecoin that doesn't give you yield when you could move into a Benjie money market fund earn that yield, and when you want to do a payment transactions convert into a stablecoin. We think by the March, we will have the ability for somebody who has a stablecoin. We're Benjie has been integrated with multiple different stablecoins, where on these crypto platforms, we now a partnership with Binance. We have with OKX and Kraken and others where you'll be able to convert from your stable coin into our money market fund. And on a Saturday, convert out if you want to leverage it for payment and earn that yield. And, again, because it's on blockchain, we actually pay you that yield in your account every day. If you're a corporate treasurer, and you can get use of those funds every day versus accruing and waiting for that capital to be paid to you at the end of the month on a money market fund. That's going to be a benefit. And so that's we think there's an opportunity. But Benjie is just the beginning of where we think this goes.
Michael Cyprys: Great. Thanks so much.
Operator: Our next question is from the line of Patrick Davitt with Autonomous Research. Please proceed with your question.
Patrick Davitt: Hi. Good morning, everyone. Following up on the expense guide, I don't think you've ever talked about the scale of the third-party performance-related expenses you're excluding. So could you give how much that runs each year? And then I think, Matt, you hinted you have a detailed rundown of next quarter expenses you can give. Thank you.
Matt Nicholls: Thanks, Patrick. That should be the third-party piece should be relatively small. I'll check with the team quickly just in case. But that larger performance fee that we had to run through G&A last quarter was associated with a large performance fee we got from BSP and it was for previous employees. So, but I'll get what that number could be going forward. In terms of but it'll definitely be smaller. In terms of the third quarter or sorry, second quarter guide, I already mentioned EFR we expect it to be in line with this quarter. And as I mentioned, the last two quarters, we had some upside potential in EFR related to potential fundraisings in alternative assets. Comp and benefits, we expect to be around $860 million. This includes $30 million of calendar year resets, you know, for 401k payroll. Salary increases, and so on. It also assumes $50 million of performance fees. And a 55% performance fee compensation ratio on that. IS and T, we expect to be $155 million consistent with last quarter. Occupancy, $70 million, again, consistent with last quarter and as we've guided in the past. G&A, $190 million to $195 million again, in line with the previous quarter. This assumes a little bit higher fundraising expenses and a little bit higher professional fees. And then the tax rate, we guided last time for year 26-28%. We're keeping that guide, but we're now on the lower end of the guide or low to mid let's say, in that guide. So we're bringing the guide down on taxes for the year from the higher end, which I think I said last quarter to the lower to mid part of that guide. And then really importantly, I want to reiterate the '26 because I know you'll be calculating back what should how do we to the flat expense guide or remaining equal and excluding performance fees and the other assumptions we put in the deck, how do we get to that guide? I would add the quarter I just gave you to the first quarter and then look at the last two quarters. And just spread the expense savings over those two quarters. We recognize about 20% of the 200 in the first quarter. And we expect to spread the rest of it out over the next three, but there'd be larger amounts of it in the last two quarters. And, again, we expect to end the year in a very similar expense position as we were to twenty five. Notwithstanding all the investments that we've talked about, making in the company and at a higher margin, as I mentioned when I answered Alex's question.
Operator: Thank you. Our next question comes from the line Ben Budish with Barclays.
Ben Budish: I was wondering if you could maybe talk a little bit about the equity flows in the quarter. I know calendar Q3 is typically seasonally stronger. And obviously, there's been a trend of improvement over the last couple of years. But this quarter looked particularly strong. Anything unusual or one time you'd call out or was it more, you know, broad-based and, you know, I know it's still a bit earlier in the fiscal year, but you know, any thoughts on how the rest of the year may shake out, would be helpful. Thank you.
Jenny Johnson: I'll start, and then I know Daniel will want to jump in. I mean, obviously, it's a quarter that you have a strong reinvested dividends. So that is part of the flows, which is important. But I have to tell you, I mean, Putnam continues to have excellent performance and continues to have very, very strong flows. And honestly, that has even continued into January. I don't want to steal the thunder here, and January hasn't closed yet, but we actually are looking like we will be positive net flows inclusive of Western, which has been a long time since that in January. Now again, I caveat that since it hasn't actually closed today. But part of that has just been the strike in Putnam. Daniel, do you want to add?
Daniel Gambach: I think you got it. I will say it's a combination of platinum, clearly, large-cap value, on research. Also, on emerging markets, we got some institutional flows from our temples and emerging markets capability. Which is very, very encouraging. And I will also say our ETF franchise had excellent results. Especially on the active ETFs, which is also a combination of the results from our Boston affiliate, but also a couple of ClearBridge funds did also very well on that. And the momentum continues to be we own ETFs. We had a great quarter. 75% of the quarter was on active ETFs. So it continues to actually show that that's where the industry is going, and we have a very ambitious plan to continue that growth.
Ben Budish: Alright. Thank you very much.
Operator: Next question is from the line of Bill Katz with TD Cowen. Please proceed with your questions.
Bill Katz: Great. Thanks for taking the extra question. Just a couple of cleanups for me. One, can you just remind us what the variable expenses against net asset value were happening by the incremental margin on market action. Number two, maybe just on the WAMCO side, I haven't asked about this in a while, but it seems like volumes there are stabilizing. How are conversations progressing with the investment community given that some, but not all the overhang with the regulatory investigation is sort of winding down? And then finally, was wondering if you could talk a little bit about broadly, you mentioned that Lexington was not in this most recent quarter. How do we think about maybe the pace of opportunity on Lexington and maybe broadly where you see the big opportunities for growth in fiscal twenty six? Thank you.
Jenny Johnson: Great. So I'll take the Western and Alts, and then I'll turn it back to Matt on the variable expense there. So just one on Western. I mean it helped a lot, obviously, The DOJ came out and said that they're not going to pursue criminal charges and it'll be resolved through disposition and acknowledged. I think this was also important that the additional time needed was not due to Western. So I think that gave clients a little bit of a breather of an uncertainty. And you have the benefit. The investment team is incredibly stable. They have very, very good performance. We've been integrating the corporate functions. We've been integrating the institutional sales and the client service that's going very well. And so I think that with clients that is that essentially calm them a bit. I mean, we did while there's still an outflows, it did have, I think, was $6.6 billion in gross sales. In the last quarter. So there's obviously clients that are still allocating to Western. With respect to Alts, as Matt said, so we had a very strong quarter. Our target for the year is 25% to 30%. We're going to it's still early, so we're going to maintain that target. But obviously, at $95 billion coming into the private markets, and that is across all private credit secondaries, real estate and venture. So it's nice and diverse. A little over half of it is in the private credit area. None of it was Lexington's flagship fund 11. Lexington did have it was a combination of its co-invest flex middle market. There were over 33 vehicles that had inflows in our private markets this quarter. So tells you it's really broadly distributed, which for us is exciting. Lex flagship Fund 10 are active or 11, they're actively fundraising in the market right now. Their target is to be about where they were on their last fund. They would expect to first close this year, but it'll depend. Secondary continues to be just a great space to be. Last year was a record number in secondaries transactions. Lexington is considered one of the trustiest trusted and long-term partners with experience, and they're not affiliated to any single PE firm. So that also gives them an advantage. So they're having very good strong conversations. But we're pleased to see the extent of inflows and growth even without the Lexington flagship fund. So Matt, and I'll turn it over to you again for the last part of that.
Matt Nicholls: Sure. Thanks, Jenny. So Bill, on the variable question, about 30 between 35-40% of our expenses are variable. And I'm sorry I didn't address the I remembered you asked that this question at the end of your previous question. Where you said if the market goes down, do we have flexibility now? Expense base? The answer is yes. We always have variability in our expense base in the event the market goes down. So that's the answer to that. And then to answer another expense question Patrick had. Patrick, just to make sure I fully answer your question. As it relates to the geography of performance fee-related compensation, first of all, we would always, guide to apply 55% to the number of performance fee overall. So 55% is the correct application whether it's in our computation line or the G&A line. And we do, as I mentioned, in the answer to the question initially, we expect that number to be quite low in the GNA segment. The G&A segment is just literally for former employees that where we have to where we're paying a, you know, a portion of the company out that they owed. But that's de minimis at this point. It was just larger that one quarter. I think it was $24 million to be specific. Last quarter and was because it was a large older fund that had a number of folks that are no longer they're retired from the company that had interest in the performance piece.
Patrick Davitt: Thank you. This concludes today's Q&A session.
Operator: I'd now like to hand the call back over to Jenny Johnson, Franklin's President and CEO for final comments.
Jenny Johnson: Great. Well, I'd like to thank everybody for participating in today's call. And more importantly, once again, we'd like to thank our employees for their hard work and dedication delivering this strong quarter. And we look forward to speaking with all of you again next quarter. Thanks, everybody.
Operator: Thank you. This concludes today's conference call. You may now disconnect.